Operator: Good day and welcome to the Colgate-Palmolive Second Quarter 2020 Earnings Conference Call. This call is being recorded and is being broadcasted live at www.colgatepalmolive.com. Now, for opening remarks, I would like to turn this call over to Chief Investor Relations Officer, John Faucher. Please go ahead.
John Faucher: Thanks, Amanda. Good morning, and welcome to our second quarter earnings release conference call. This is John Faucher, Chief Investor Relations Officer. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings press release and our most recent filings with the SEC, including our 2019 Annual Report on Form 10-K and subsequent SEC filings, all available on Colgate's website for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in tables eight and nine of the earnings press release. A full reconciliation to the corresponding GAAP financial measures is included in the earnings press release and is available on Colgate's website. Joining me on the call this morning are; Noel Wallace, Chairman, President and Chief Executive Officer; and Henning Jakobsen, Chief Financial Officer. I will discuss our Q2 performance and provide some context around 2020 before turning it over to Noel for his thoughts on our results and the current operating environment. We will then open it up for Q&A. As usual, we request that you limit yourselves to one question, so that as many people as possible get to ask the question. If you have further questions, you are welcome to re-enter the queue. We are pleased with our second quarter performance as we delivered gross and net sales, organic sales, operating profit, earnings per share and cash flow in Q2 2020 despite headwinds from foreign exchange, the worsening global economy and impacts from the COVID-19 pandemic around the globe.  We delivered growth in five of our six divisions with Europe down slightly where consumers worked down some of the extra pantry inventory they purchased in the first quarter. Our gross profit margin was 60.8% on both a GAAP and a base business basis. On a GAAP basis, this was up 110 basis points year-over-year, on a base business basis our gross profit margin for the quarter was up 120 basis points, our best year-over-year performance in several years.  For the second quarter, pricing was 130 basis points favorable to gross margin, while raw materials were a 320 basis points headwinds, primarily driven by the transactional impact in foreign exchange. Productivity added 220 basis points. On a GAAP basis, our SG&A was up 40 basis points as a percent of sales.  On a base business basis, our SG&A was up 60 basis points in the quarter on a percent of sales basis, driven by a 50 basis point increase in advertising to sales, as our advertising spending was up 6% year-over-year on an absolute basis, and by an increase in logistics cost as we work to meet heightened demand due to COVID-19.  Excluding logistics, our overheads were down slightly as a percent of sales, despite the FX headwinds in the quarter. On a GAAP basis, our operating profit was up 7% year-over-year, while it was up 2% on a base business basis. Our ATS was up 9% on a GAAP basis and up 3% on a base business basis.  We delivered strong free cash flow growth in the quarter, up 67% year-over-year, due primarily to favorable working capital performance, particularly in accounts receivable, net income growth and the timing of income tax payments. Year-to-date, our free cash flow was up almost 50%.  A few comments on our divisional performance now. North America delivered strong growth in the quarter, bated by increased demand across toothpaste, personal care and home care. As with Q1, growth was led by those categories, where we believe we have seen sustained changes in consumer behavior. Liquid hand soaps, hand dish soap and household cleaners.  The performance of Optic White Renewal helped drive strong growth in tootpaste in the quarter with share improvement for the Optic White franchise.  Latin America net sales were down 13.5% in the quarter, as strong pricing growth was offset by significant foreign exchange headwinds and a mid-single-digit volume decline. Our team in Latin America has responded well to the crisis, working to keep our teams safe, despite rising cases of COVID-19 in many markets, implementing pricing to offset foreign exchange movements and adapting promotional programs.  While we were pleased with our pricing performance, and the gross profit margin expansion has helped deliver, our volumes were down. We expect the balance will improve in the second half of the year driven by innovation, increased marketing spending, and a return to a more normalized promotional cadence.  Organic sales growth was strong in Brazil, despite a very difficult operating environment. Europe delivered mid-single-digit net sales growth in the quarter, as the inclusion of Filorga, more than offset the impact of foreign exchange and a modest organic volume decline. Consumers in Europe began their pantry destocking during the quarter and this led to category softness across many of our categories although liquid hand soap, dish soap and bleach remained buoyant.  We planned for this weakness in Q2 and have shifted our marketing plan to take advantage of what we expect to be improved category growth in the second half of the year as we believe consumers are well along in this destocking process.  Net sales were down 3% in Asia Pacific with volume declines in negative foreign exchange, partially offset by higher pricing as the division returned to modest organic sales growth in the quarter. China returned to growth in the second quarter and continues to improve as e-commerce drives significant growth.  While our net sales and organic sales in India were down in the quarter, trends have improved since the nationwide shutdown that negatively impacted March and April. There is still some disruption to the retail networks consistent with what you have heard from other companies.  In Africa and Eurasia, net sales were down in the quarter, as foreign exchange more than offset low-single-digit organic sales growth with strong performance in South Africa which was driven by volume growth. We took pricing in many markets including Russia to offset the foreign exchange headwind.  Growth at Hill’s remain strong, driven by a combination of underlying category growth, market share gains due to the Hill Science Diet relaunch, ecommerce strength and a rebuild of retail inventories following a very strong first quarter. Once again, Hill’s ecommerce business grew more than 50% in the quarter.  As we said in the press release, due to the continued uncertainties surrounding the potential business impacts from COVID-19, and the related macroeconomic volatility, we are not providing guidance. However, as we did on the first quarter call, we want to provide some context around certain factors that you should consider as you work on your models for 2020.  We believe the consumption for certain of our categories, like liquid hand soap, dish soap, bar soap and household cleaners remains elevated and that this should continue going forward. In other categories like toothpaste and pet nutrition, we believe that consumption rates are stable and that some of the first half growth that resulted in increased pantry inventory, mainly to reverse in certain geographies in the back half of the year.  As we mentioned in the press release, we still expect foreign exchange to have a negative mid-single-digit impact on net sales for the full year. Based on current spot rates, we would expect the impact to be at the low-end of that range.  We continue to expect our tax rate to be in the range of 21% to 22% on a GAAP basis. On a base business basis, we continue to expect our tax rate to be in the range of 23.5% to 24.5%. We continue to plan for less benefit from share repurchase in the year as we focus more of our cash flow on reducing the debt on the Filorga and Hello transactions. While we pause share repurchases under our repurchase program in the second quarter, our full year share repurchase plans have not changed.  And now, I’ll turn it over to Noel. 
Noel Wallace: Thanks, John, and good morning, everyone. Let me start by saying I hope everyone is staying safe and healthy despite the challenging circumstances. I thought I’d start off by giving a couple of thoughts on the quarter and then I’ll provide you a quick update on where we stand relative to the focus areas that we laid out on the Q1 call.  So, good quarter. We continue to deliver and what I would say a very difficult operating environment in the second quarter, despite the uncertainty around COVID which is quite substantial, particularly including the accelerated case rates that we are seeing in many of our largest markets and the impact as John mentioned, the economic activity that we are seeing around the world, we delivered very strong organic sales growth above our long-term target of 3% to 5%.  Importantly, strong gross margin expansion and you saw that obviously delivered through strong funding in the growth and productivity measures and really good pricing that we are broad based across our categories and geographies. That allowed us to increase advertising which has been a consistent theme for us over the last couple quarters and importantly expand our operating margins in the end.  And again, and that’s despite dealing with significant headwinds on foreign exchange particularly in Latin America, you saw the foreign exchange hit, that was around 6%. Unfortunately the headwinds from the crisis, we see them continuing and the rising number of COVID cases, particularly in some of our key markets means that the possibility of a larger disruption will continue to exist where there would be why the virus is felt or what we’ve seen in some markets, government actions to defend the virus and those continue to be quite elevated and that remains our number one concern as we look at the back half of the year.  That said, underlying demand for our products remains solid, particularly in certain categories like liquid hand soap and dish, bar and cleaners, those with the health and hygiene orientation film where we compete quite successfully across the world.  We are delivering premium innovation in the quarter as well. You will hear me talk a little bit about the success of Optic White Renewal which is our highest price point toothpaste here in the U.S. have been a great success. We continue to focus on high growth channels. We’ve had substantive growth in our ecommerce business and some of our discounted and club business as well.  And we are obviously dealing with a digital environment where consumers aren’t leaving homes and quite successful in how we are delivering content in our advertising. That’s consistent with the strategy that we’ve been discussing for the last 18 months. That strategy was focusing on our core business, that’s strategy is focused on adjacencies, particularly in the premium side of the business and the strategy that’s focused on truly elevating our participation in fast-growing growth channels like ecommerce.  And that was enabling us as you’ve seen to deliver consistent top-line growth which the necessary – absolutely necessary for the long-term health of our business and we are delivering net growth which is broad based across our categories and broad based across geographies and we need to do that with volume and pricing consistently throughout the year.  If that broad based organic sales growth will balance us to expand the gross margin, we’ve been particularly focused on that this quarter. Doing that despite the significant headwinds that we’ve seen from foreign exchange and the headwinds we’ve seen from mix, particularly the mix of some of the categories that are elevated in the quarter.  That’s allowed us to expand our gross profit pool and has allowed us to both fund the increases in marketing spending and capabilities and deliver the marketing – excuse me - the operating margin expansion to drive the EPS growth. So that’s the quarter. So I thought I’d now spend the rest of my opening comments around the balance of 2020 and looking a bit more into 2021.  So let me come back to the three focus areas we discussed in the first quarter call. And they were, staying true to our values and purpose which is going to help us navigate through this environment. How we as a company are adapting a strategy that we have been consistently deploying for the better part of 18 months and how we are executing that strategy with more agility and that’s been a capability that we have integrated across the company and how we are managing through the crisis with an eye, importantly towards the future and I am mostly, quite frankly with how the company is dealing with the short-term issues that come weekly around the crisis, but more importantly, very focused on ensuring that the long-term health of the business and how we deploy our strategy over the next year to two is being executed.  So let me start with how we are staying true to our values and how that’s helping us navigate through the challenges of this environment. Our number one priority, as you’ve heard continues to be the health and safety of Colgate people and their families all around the world. We continue to enforce home policies across the board where possible, although some of our offices have began to open up.  Our global supply chain team has delivered remarkably well given the volatility they’ve seen and spikes of demand for our products and the challenges with the suppliers all over the world. We are sustaining our manufacturing capacity in many cases elevating that and we are dealing with increased demand of products that have been excessive in certain categories and doing that exceedingly well.  And importantly, coming back to values and purposes is making sure that we are giving back to the communities that we serve through our #SafeHands program that we talked about in the first quarter, our partnership with the World Health Organization. We’ve distributed three bars of hand soap to over 28 different countries now to promote hand washing techniques which is obviously the first line in defense in fighting COVID-19 and our teams are extraordinarily proud of the efforts that we put in place in that regard.  The second focus area is how we are adapting our strategy and executing with agility. The current strategy I’ve outlined is working core adjacencies, faster growth channels. We’ve been seeing consistent performance across our categories and geographies against that strategy, but we realize in the current environment that we need to continue to be agile and we need to adapt our marketing strategies where necessary.  For example, you’ve seen the continued success we’ve had on our Hill’s business. We’ve been partnering with some of our lead pet specialty retailers were moving money from in-store promotions to digital content to help elevate not only the brand itself across all ecommerce platforms, but to drive foot traffic back into their stores. That’s helped us obviously drive shares during the quarter and continue to have very successful growth on the ecommerce business for the Hill’s category.  As we look at the back half, we are obviously getting much more data as we build our digital capabilities. We are using that to supplement our RGM efforts. You saw significant pricing in the quarter and I am very pleased with how the team has really brought on RGM tactics using data analytics to drive pricing.  We’ll use that as we think about redeploying more money in the back half into a promotion environment that will likely be more competitive. So, all consistent with the strategy that we talked about and enabling us to obviously deliver the balanced growth that you see.  So, let me move on to the third area of focus, managing through the crisis with an eye towards the future. Obviously, we want to emerge from this stronger than we went in. So we will continue to invest quite aggressively in the back half of this year. We’ve got strong plans both on above the line advertising, as well as in-store promotions in the back half that will complement a good innovation grid that we’ve adjusted to deal with the current behaviors that we are seeing in the market. 
in that RE but driving: And as I mentioned on the last quarter, productivity will continue to be key for us. Our funding the growth overdelivered in the quarter for us. We continue to offset some of the incremental cost we’ve seen from COVID. So, so far, so good. But productivity is a never ending journey for us and will continue to be a key focus as we move forward.  So, those are our priorities and although there is tremendous amount of uncertainty right now, I am confident that we have the right priorities and the right strategies and most importantly, an incredibly engaged organization deploying and executing the strategy to navigate through this crisis and ultimately emerge stronger on the other side.  So, with that, I’ll open up to questions. 
Operator: [Operator Instructions] And we will take our first question from Dara Mohsenian from Morgan Stanley. Please go ahead.
Dara Mohsenian : Hi guys. Hope all is well. Pricing number really accelerated in the quarter to 3.5% level which the best we’ve seen in recent history. Was that more related to sustainable price increases or the RGM efforts that you guys mentioned that have been put in place, particularly in emerging markets which look like it drove the corporate pricing, but was there more variances specific to the quarter such as promotional spending except for that you guys mentioned.  And how sustainable are the drivers behind this pricing shrink in the quarter as you look going forward? Then perhaps you can just talk about demand elasticity in emerging markets from that pricing? Thanks. 
Noel Wallace: Yes. Thanks, Darren. So, obviously, as we were coming out of the first quarter, we talked about the significant headwinds we were facing around foreign exchange particularly in some of the emerging markets and as you’ve seen consistently over the years, our teams on the ground look to recover the transactional impact of those foreign exchange very, very quickly and get that pricing into the P&L.  You saw it obviously manifest itself through the pricing across the company largely driven by emerging markets, where we saw most of the foreign exchange headwinds. So, really pleased with the fact that teams got ahead of this in the quarter and the strength.  So that we now have the ability to use that pricing that we have in the P&L to obviously continue to drive gross margins moving forward, but it’s necessary to invest in the business in the back half and that gives us maximum flexibility which is what we were looking for going into the third quarter.  There was some pullback in promotions in the quarter. Obviously, we were very disciplined whereas foot traffic was down in certain REs around the world [Technical Difficulty] lockdowns in some markets. We naturally pulled back with a discipline to ensure that we can move that money into the back half of the year of those promotional slots to elevate the volume that we are looking for in the back half.  So, we believe it’s sustainable. We obviously took the pricing early. That gives us the most – the best ability to control that moving forward and we intend to obviously, as I said, spend in the back half. But we are comfortable with where we are in terms of our ability to manage some of the foreign exchange positivity that we have seen. 
Operator: And our next question will come from Wendy Nicholson with Citi. Please go ahead. 
Wendy Nicholson : Hi, good morning. Could you talk a little bit more about gross margin? But I don’t know you called that out as a specific area of focus in the second quarter. But I am trying to get a sense of how much of the improvement – you just mentioned the reduction in promotional spending, how much of that was sort of structural funding to growth cost savings that we should think are here to say versus on a short-term crisis management type benefits? Thanks. 
Noel Wallace: Sure. Well, we obviously saw significant transaction moving through and despite that, we were able to recover that with strong pricing in the quarter. And again, we saw elevated foreign exchange headwinds coming out of the first quarter and very much elevated as we went into April and that allowed us to take the pricing early in the quarter and get the full benefit of the pricing as we went through the quarter.  Likewise, our funding to growth and productivity efforts have been very, very strong. I think certainly as we step back and manage the complexities associated with the disruptions we’ve seen on the supply chain, some of the portfolio changes we’ve made, obviously the leverage that we are seeing coming through the P&L, all of that has assisted us to drive more efficiency through our plans and get that delivered on the gross margin line.  So, overall, we felt very good about where the gross profit was. Obviously the pricing early in the quarter helped and the funding to growth that came through the balance of the quarter likewise helped. But again, as I mentioned, there are, Wendy, we obviously we are very selective in where we were spending money at the promotional line in the quarter.  We did pull back in some areas as we didn’t see the ROI there that would have expected given the foot traffic down – it was down. As we see foot traffic come back in the back half of the year, we have full intentions to ensure that we are competitive and we continue to drive volume in the year to go. 
Operator: And next we will hear from Andrea Teixeira from JPMorgan. Please go ahead.
Andrea Teixeira : Yes. I think you and hope all is well. Noel, if you can comment a bit on the supply chain in terms of like of your capacity could increase over the quarter? And then the stock out on shelves that you are now being able to – sit to consumption, can you take us around the world? That would be great. Thank you. 
Noel Wallace: Sure. In general, obviously, as I had in my upfront comment, the supply chain has performed extremely well. The demand in some of our categories has been significant at levels that we’ve never seen before. That forced our teams very early on to look at how we simplify and optimize our portfolios in order to drive throughput in our factories.  I think that’s been well received by our trade partners in order to ensure that we improve – we improve our case bill numbers with them. That being said, we still have some categories where we are not meeting demand. Liquid hand soap would be one of those. The demand is in excess of our capacity. We brought on capacity through contractors.  Obviously, we saw some of the impact of that in the U.S. at the margin line, but that’s allowed us to deliver against the service levels that our retail partners are expecting. We are in the midst of obviously looking at how we put more capital into certain of our facilities, because we see some of these categories will have elevated demand.  We’ve done some very innovative things relative to our packaging that has allowed us to use other lines for specific categories that were not used before that will allow different types of packaging to move through the category that also elevated our demand right now.  So, on a top-line basis we are meeting pretty much all of our demand except couple categories, liquid hand soap would be one, dish soap will be another where we are still trying to catch up and we anticipate that we will see that come to fruition in the back half of this year as we bring on more capacity and deal more efficiently with some of our contractors. 
Andrea Teixeira : All right. Thank you. 
Operator: And our next question will come from Olivia Tong with Bank of America. Please go ahead. 
Olivia Tong : Thanks. Good morning. Thank you. Good morning. Hope everyone is well. Two questions, first, if you could just talk through growth across the categories rather than divisions if you would put a little bit of numbers behind that.  And then, one topic more specific to emerging market trend, particularly Latin America’s recession, because obviously the volume numbers have come in, but pricing has gone up pretty dramatically. So if you could just talk about what you think your categories are growing at underlying and your ability to manage to any potential downshift in the macros. Thanks so much. 
Noel Wallace: Sure. Thanks, Olivia. So, broad based categories are in aggregate are up versus the year ago. Obviously, to provide a significant demand of some of the health and hygiene products in the categories in which we compete. We’ve seen real gyrations in the categories, so to speak, as we’ve gone through the years. Some categories we saw the pantry loading in the first quarter.  Things like oral care where we saw significant spikes that have come out in the second quarter and we anticipate will continue to come out in the back half of the year. But overall, if we take it on a year-to-date basis, most of the categories continued to be obviously up. We’ve seen elevated demand in the categories that we highlight, the liquid hand soap, bar soap, cleaners and dish.  And we anticipate that most of that demand will continue quite frankly as behaviors change and people work from home which obviously aids in the consumption of our products, we’ll continue to see that through the back half of the year. Relative to specifically oral care across the board, we’ve seen good numbers on oral care in an aggregate basis, again, largely driven by the first quarter, slowed in the second quarter, particularly driven by LATAM.  And some of the pricing that we took, but we see that starting to improve as we went through the quarter and anticipate with the activity that we are bringing to the market particularly in tooth paste in the back half that we will continue to see good demand.  Relative to LATAM specifically, we’ve gone through many, many recessions in LATAM. Our teams are very well prepared for this. Some of the models we viewed that get upfront with pricing which we’ve done in the quarter. That gives us the maximum flexibility as we move in through a tougher environment. We have, as you know, a very competitive portfolio of products where we innovate across price points.  Particularly, in LATAM if you take – if you break our toothpaste business down between premium, mid-price and value, we do 50% of our business in mid-price and 25% in value and as we talk, we have real opportunities in the premium and particularly the super premium side, but as consumers move into a recession, we are very well positioned for that environment given the view of our portfolio.  So, and as we mentioned, inherent to our strategy is continuing to innovate behind our big core businesses. And we have some big core innovations coming in the next 12 months. So we think we are well prepared to handle the recession and we’ll see how deep it is.  Obviously, the circumstances that we are dealing with around the spread of the virus, particularly in LATAM is concerning and gives us pause, relative to being cautious as we see the categories evolve over the next six to twelve months. So we will watch that very carefully. But we are prepared to deal with it as it comes. 
Operator: And next we will hear from Jason English with Goldman Sachs. Please go ahead. 
Jason English : Hey, good morning, folks. Congratulations on strong results. 
Noel Wallace: Thanks. 
Jason English : Noel, I think your response to last question, I heard you mentioned that throughout the quarter’s trend that we saw in toothpaste or oral care in Latin America were improving. But I was hoping you could put a little more cheese on that comment. Where we should go with some quantification or specificity on how your overall business was performing in Latin America, month-on-month and maybe how it’s tracking? And as you exit the quarter or so far in July? And if possible, love to hear the same type of figures for your developing markets overall? 
Noel Wallace: Right. I am not sure I understood the first, Jason. I think it was around the volume comment, pricing comment for LATAM. Let me just talk in broad strokes, LATAM for the quarter and hopefully I’ll address most of your questions. By and large, a really good quarter for LATAM despite the fact that they faced significant issues and disruptions and when I say disruptions, you had a large part of the mom and pop trade in certain countries to completely shutdown big department stores, traffic was shutdown.  And so, as a result of that, you saw the shopping occasions decline in the quarter and despite that the team delivered across the board, shares were good across our categories in which we compete. As I mentioned earlier, they got the pricing. The pricing was significant in the quarter and there is no question when you take that level of the pricing and you couple that with the disruptions you are seeing in the marketplace relative to retail environment being closed.  You are going to see some volume falloff and that’s exactly what happened. And as we moved through the quarter, we started to see a bit more traffic coming back into the stores and we anticipate that we’ll start to continue to see that in the back half of the year. That being said, you read the same press that we read that obviously the virus – the rates of infection continue to accelerate, particularly in big markets like Brazil.  So we need to be very mindful on the implications and the decisions governments may take to continue to contain that moving forward and that usually involves mobility and availability of people to get back into stores. So, overall, LATAM shares good.  Volume little soft, but understandably given the issues that we saw around mobility and stores and likewise strong pricing that we took, but we will see strong investment in LATAM in the back half of the year, both on the advertising line to support a good innovation grid. And likewise, discipline on the promotion line to ensure that we are getting the right return on investment there. 
Operator: And our next question will come from Steve Powers with Deutsche Bank. Please go ahead. 
Steve Powers : Hey. Thanks. Good morning. Maybe going back to some of the topics you are discussing with there, may be at the start, but coming out with a slightly different perspective. If I step back and just look at the composition of your P&L for the first half, it’s very healthy despite all the volatility, gross margins solidly above 60% with A&P is running at about 11.5% of sales.  Can you talk about some of the key enablers there? And is there any notable reason to think that that general composition changes meaningfully in the back half, because let’s say, so far I am not sure I see one, but I just want to test my thinking on it. 
Noel Wallace: Sure. Again, let’s come back to the strategy that we’ve been deploying focusing on core innovation, that’s big part of our portfolio and as we focus on core innovation, we take pricing. That’s obviously you see that translating through the P&L. We have been quite disciplined in getting out ahead of foreign exchange particularly in some big markets that obviously delivered in the quarter through the gross margin expansion that we’ve seen.  The channel expansion that we’ve seen has been significant. I mean, we’ve had significant growth both on ecommerce and some of the untracked channels that we don’t talk a lot about, clubs and discounters.  And that again is consistent with the strategy that we’ve been deploying for the last 18 months. And quite frankly, the whole challenge behind COVID-19 has been a catalyst for executing our strategy and we talk about adjacencies being the third vertical for us and we’ve been aggressive in getting adjacencies into the market very quickly throughout the crisis and it’s all behavior change.  We put more antibacterial products in the market. We put more health-oriented and hygiene-oriented products into the market. And again, I think that level of agility that we’ve demonstrated all of that is between core adjacencies and channels helped obviously prop up the organic growth and get more consistent balanced growth, volume and pricing, as well as delivering the gross margin which allows to invest in the categories.  That being said, we do anticipate the back half to be competitive, I think as more and more markets slowly open up and again, I say that with the caveat that things can change very quickly there, but as they open up, I anticipate that we’ll see more investments going back in stores and hence the reason why we wanted to get out in front of that with pricing in the quarter.  And as John mentioned in his upfront comments, we have increased advertising in the back half to deal with that and to continue to build momentum. So that’s how we are looking at things. But it’s challenging to be sure.  The uncertainty that we see coming out of some of the large markets, the volatility that we see in categories, and the immediacy that governments are taking sometimes to contain the virus has implications and we have to deal with those. So we remain cautious, as well relative to how we see things unfolding. 
Operator: And our next question will come from Lauren Lieberman with Barclays. Please go ahead. 
Lauren Lieberman : Great. Thanks. Good morning. So, I wanted to talk a little bit about cost beyond you talked a bit about the productivity. In general, last year talking more about executing with agility and so on and we talked about quite a bit on the revenue side.  But I was wondering, as you’ve navigated the first few months of this crisis, and things that maybe you have uncovered in the way that you operate, the way you are structured where cost resides in the P&L and the new organization, outside of T&E, but are there areas that you are finding that maybe are right for – to further efficiency and so that the kind of stronger applies to cost structure not just top-line. Thanks. 
Noel Wallace: Sure. Thanks, Lauren. Couple areas. Obviously, we’ve been talking productivity beyond just the success we’ve had with funding to growth over the years and as an organization, quarterly we’ve really opened all line items now to think about productivity very differently. And so, beyond just the typical cost structure of our products which we do extremely well, we are now interrogating all areas of the business.  And quite frankly, as we have come into the crisis, it opened our eyes to opportunities that we can go after and inefficiencies that we have throughout the income statement. So, let me talk about a couple of those. Now obvious ones you would expect obviously our travel budgets with operating 200 countries around the world were significant.  And the digital transformation that we’ve been under and in connecting everyone digitally and our ability to day one moved to a virtual workforce have allowed us to obviously save, substantive amount of money on the travel side and there is no question that behavior and from what we’ve learned will to continue to deliver savings for us moving forward and we will how we think about that.  There is no better way than to learn the polls of a business and being on the ground and that’s the big part of who are as a company, but we’ve learned to use virtual tools in a very different way whether it’s technology that we have in our plants, where we don’t have to spend maintenance people to the plants anymore that they can work through different systems to see actually at what point on in a plant virtually and address issues from thousands of miles away versus getting on an airplane to having business review meetings with teams. So we are getting better and better of that and I think that behavior will continue.  Portfolio, obviously, going into this, we always have a long tail and we’ve had this strategy that we’ve been executing for the last couple of years and grow the head and cut the tail and as we went into the crisis, obviously cutting the tail became essential in order to meet the demand and that has allowed our – out in the throughput and the efficiencies and to case fill on our plants to grow quite significantly.  And there is a lot of learning there. Now we have cut some SKUs that have very select and unique consumers that we need to look to how we ultimately optimize moving forward. But I do not anticipate that we’ll get back to the full breadth of the portfolio that we had before, as we work with the trade to really optimize it.  And then secondly, I think, what we’ve learned a lot is how do you manage on omni-channel environment and do that in an effective way that it allows us to map the consumer journey, understand where those unique consumers are and if they are unique and they are shopping online, perhaps we expand the tail online versus doing it through the brick and mortar shelf and we’ve learned to leverage that more effectively as we move forward.  And the other area would certainly be on – and looking at the overall cost structures of our offices and what we are doing around the world and making sure that we think about them differently in the long-term to ensure that we maximize effectiveness of our teams on the ground and we are looking at the cost in a way that we have an opportunity to potentially generate some savings there.  And then the last is obviously, elevating funding to growth. And as we look at our products and our innovation strategy, we are looking at more platform ideas, Lauren, across the board, where we are getting more synergies with respect to our formulation development and using that more successfully on a global platform.  The last would be a strategy that is now underway being led by our supply chain, which is really looking at its segmentation of our facilities little bit differently and that’s taking big facilities and making them even more efficient in the long run and looking at how we use other facilities that will become far more agile and flexible to deal with smaller runs, to deal with innovation very differently, to deal with direct-to-consumer brands that we maybe incubating and do that in a very cost-effective way and complementing that, excuse me – with a – manufacturers whereas they might be more efficient.  So, a multitude of things on the productivity side, Lauren and I think you will continue to hear more about that as we move forward. 
Operator: And our next question will come from Kevin Grundy with Jefferies. Please go ahead. 
Kevin Grundy : Great. Thanks. Good morning everyone. And congratulations on the strong results. Noel, I wanted to pick up on Jason English’s line of questioning around the decision, specifically around Latin America, but mine is really around the decision not to reinstitute guidance and the takeaway here for investors.  So, understanding that LATAM is a bigger portion of your portfolio relative to the peer set, I know it’s not lost from you guys that, we’ve seen Kimberly Clark and Procter and Church and Dwight this morning reinstitute the practice that Procter is looking out in the entire fiscal year with their guidance.  John gave a number of directional guidance points, if you will, strong organic sales growth in the first half of the year, but basically through July. I think the tone on the call here has been pretty positive and it sounds like you guys are going to be resuming share repurchases. So, that’s all a big wind up here. How much do you guys deliberate on this?  What are you seeing in July, specifically? And is the message here, really this is more about conservatism related to the pandemic and probably specifically Latin America as opposed to any sort of sequential weakness in July that the market should be concerned about? Thanks. 
Noel Wallace: Yes. Thanks, Kevin. Let me start with July. We are going to avoid getting into a precedent despite the fact that I am very sensitive and understand in the absence of guidance that externally everyone is looking for more and more information. But what we don’t want to do is get into every earnings call talking about the current month that we are in. I will say that July is coming in as planned.  Relative to guidance again, not much to add versus what you have in the print. Specifically, the unknowns of the unknowns, I mean, we’ve seen anything versus where we were in the first quarter, we’ve seen the virus unfortunately expand. We’ve seen case counts accelerate, particularly in some of our larger markets. We see increasingly more disruptions in some of those markets relative to retail closures.  At least temporary closures. We’ve seen consumer behavior modify, which has manifested its way through a significant volatility from week-to-week in the categories which makes it very difficult to predict and plan effectively. So, with that as the backdrop, we continued to hold our position in that regard.  And we understand moving forward that we would prefer to provide guidance and as we get more and more information and get more confidence, in terms of the way we see things moving, we will certainly come back and have that discussion again. 
Operator: And next we will hear from Bill Chappell with SunTrust Robinson Humphrey. Please go ahead. 
Keaton Green: Hi. This is Green on for Bill. Thanks for taking my question. I had one on Hill’s and specifically the volume growth hoping you guys could kind of break that out a little bit more. Is it more consumers coming into the franchise from, perhaps a different brand? Are you seeing more consumers adding dogs to defending their households and they have increased consumption at home?  And then kind of looking out going forward, how do you see that growth playing out over the kind of remainder of the year, the next few years when you step up investment and kind of the momentum that you have going right now. Thank you.
Noel Wallace: Great. Thanks, Bill. So, Hill’s, another very strong quarter and again, let’s come back to the fundamentals. Great core innovation behind the Science Diet relaunch which continues to perform extremely well. And is now at the tail end of its global roll out and getting significantly stepped up advertising support behind that.  We’ve seen the adjacencies as we moved into fast-growing segments, particularly the West segment which has been quite buoyant around the world. And obviously the channel expansion strategy that we’ve seen that we’ve executed across the Colgate business was in very much - was led by the learning that we have coming out of the Hill’s business, their ecommerce business is up another 50%, shares are up.  We are getting better and better at understanding that channel, particularly around the digital complements that come behind that. You saw a significant step-up in advertising investment in the quarter. We will see that level of spending continue in the back half of the year, specifically behind the following fundamentals.  This brand continues to have very, very low brand awareness, 3% as an example in the U.S. So our ability to continue to drive awareness behind the premium aspects of the brand and the science and the biology-based nutrition is a significant growth opportunity for the business. And we’ve done that. The advertisement has allowed us to expand – get more distribution in our portfolio.  Obviously, look at other rapidly growing channels and drive distribution there and continuing to premierize and take pricing where we can. So the volume growth has been a function of obviously the share growth that we’ve seen, the cannel growth that we’ve seen, the premiumization, which obviously comes through more on pricing.  And likewise, you did see a little bit of pantry loading in the first quarter as consumers were facing a potential lockdown, particularly in North America, we did see some elevated purchases that we saw start to come out, In the second quarter, anticipate that we’ll see a little bit more of that come out in the second half.  But by and large, the business is pretty solid. Looking longer term, obviously continued strong innovation, particularly behind our prescription diet business, looking at new digital platforms that we’ve talked about the Hill’s is a home idea which is allowing that to provide their pet owners with supply of our product delivered directly to their home.  So, looking through different innovation ideas, where there is using digital platforms or innovating across our prescription diet business in the back half and moving into 2021, that will be the key focus for that business moving forward. So, again, strong fundamentals behind that business. Pet ownership, you’ve seen the pet adoption accelerate significantly in the first half of the year.  Our estimation is that will slow quite a bit in the back half, but there is no question there are more dogs to be fed and that we are going to do everything we can to ensure that they are feeding them Hill’s. 
Operator: And our next question will come from Mark Astrachan with Stifel. Please go ahead. 
Mark Astrachan : Yes. Thanks. And good morning everybody. I wanted to ask a related question on the guidance and then kind of a related equally from that. So, I just I am still struggling a little bit with why you are not providing guidance, I obviously get – what’s going on in the world, but what is different that you are seeing?  Or what is more difficult in terms of looking out that gives you pause to the seven months for the year as your – kind of how we see it and sort of related to that, maybe one of the thesis that we hear from folks most often on the stocking. The story is your market share continues to underperform. So, are those two somewhat related?  Do you have some sort of visibility on the market share begins to improve. I guess some of that has to do with translation on foreign exchange that should – in theory now start to look better as $1 million with where it is.  So maybe, kind of first comment to the second point and really kind of how do you think about the market share trends progressing as we move over the next kind of six to twelve months as much as you can provide, that would be helpful? 
Noel Wallace: Thanks, Mark. Let me come back again on the guidance question. Not much more to add there. But, let me assure the team, there is tremendous complexity and volatility week-to-week based on what’s happening with COVID. And you get decisions made in countries, whether it’s shutting down borders, you have an incredibly complex supply chain.  Second and third order derivative effects of implications in one market to another. You’ve obviously seen the escalation of case counts in big markets for us, mainly Brazil, India and Mexico. And all of those are very difficult to predict and they are all kind of intertwined. And when you get the triangulation of those, it creates significant uncertainty relative to how things can unfold.  That being said, we are executing against it very well, but I assure you there is a lot of work that goes behind the day-to-day in making sure that we continue to operate and deal with the circumstances that confront us. And those circumstances make it very difficult to predict exactly which ways things are going to go. So, not much more to add on the guidance question.  On market share, overall market shares, we are okay in the quarter, but we are not that pleased quite frankly. Yes, you mentioned the translation impact. That was a big impact on our total shares, obviously with LATAM having such strong shares.  Their shares were actually up half a share point in the year-to-date basis, but given the translation impact of those currencies on a global basis, we saw our shares come down. U.S., a little soft in the quarter. I talked a little bit about pulling back on some promotions. Now we feel comfortable with where we are relative to the promotional environment.  There was some – still surprising me some aggressive couponing going on that we quite frankly didn’t follow and that we would like to try to avoid in the future as we don’t think that’s an effective use of money. But we have the right promotions generated through our revenue management efforts that we see ready to go in the back half, but coupled with strong innovation.  I would say that the launch of Optic White Renewal in the U.S. has been very, very successful. I mentioned earlier that’s our first $7 price point, hit a two share, 50% of that incremental. It’s been the most successful new product launch in the category since the launch of Optic White ten years ago.  So again, I think we are getting great confidence in our ability to premiumize the category and as we move into a more recessionary environment as we discussed earlier, we’ll have a strong base business and a strong core innovation of plan to address that. If you look across the other categories, by and large pretty good share performance.  Many of those categories quite frankly driven – share driven by demand and the ability to supply the shelves, whether it would be liquid hand soap, or dish which we have not necessarily met the demand at this stage and share has suffered a little. But where we are focused and where we are spending our money, we are getting some share growth.  We are not pleased quite frankly with some of the share performance in the U.S. But again, we believe that was somewhat circumstantial and we got strong plans and investment in the back half to change that. 
Operator: And our final question will come from Rob Ottenstein with Evercore. Please go ahead. 
Rob Ottenstein : Great. Thank you very much. I am wondering if we can kind of dial back to some of the pre-COVID priorities that you had, just to kind of get a sense of how you are doing on those as the world changed and specifically, some of the premiumization efforts outside of the U.S., the competition against local natural brands in China and India, the expansion of the Elmex, Meridol basically, if you could give us a rundown of those initiatives and have you maintained kind of the foot on the pedal on those?  How are you doing? And are they still as relevant as before? 
Noel Wallace: Yes. Thanks, Rob. And then, good morning. So, again, I talked about, we expect the strategy that we had put in place 18 months ago, quite frankly as we went to the crisis and interrogated that we felt it was perfectly suited for the behaviors and the dynamics we were seeing in the category. I mean, we needed to continue and they are behind the core business.  The adjacencies were there and that allows us to rethink some of our core businesses and how we get into rapidly growing segments. Take floor cleaners where we’ve expanded the portfolio into more hygiene anti-bacterial related product. And likewise, the focus we were on for quite some time to truly elevate our digital commerce business and you’ve seen consistent growth both from a top-line performance, as well as share performance in ecommerce.  And a lot of that capability is being driven by the success we’ve had in Hill’s and obviously ramping up capabilities across the company both in the digital area as well as the ecommerce space and that we’ve done that through developing our internal talent, as well as bringing in outside talent that we think has been a real boost for the organization to help us think a little bit differently.  So, strategy working and nothing that we feel we need to change, continue to be agile as we move forward. I think some of the learning we’ve had on the agility side as it we can innovate much, much faster than we have in the past. And that we intend to systemize that as we move forward to make sure that we capture that learning on an ongoing basis.  Premiumization has been a big part. I mentioned earlier in the call, we do roughly 50% of our toothpaste business in mid-price and another 25% in value and the balance in premium. And if you take the premium, the fastest growing part of the market has been the ultra-premium where we have not competed. The launch of Optic While Renewal is an example at $7 taking that bundle and moving that around the world is an opportunity for us.  And I think it has certainly given us confidence, notwithstanding the fact that it is tough to launch premium bundle successful, but given us confidence we have now a lot of the capabilities necessary to push more aggressively on premium. And we’ve learned throughout the history and particularly with the last recession, 2008, 2009, you may recall Rob that one of the most successful launches during that period was Optic White.  And that was an affordable luxury and we understand that there still is a segment of the market looking for premium, value-oriented bundles that provide a significant point of difference and Renewal is one. And so, we will balance that very carefully as we move into a more challenged macro environment and we’ll do that with super premium innovation in the right markets, as well as continuing to focus on our core.  On naturals, to your question there, we are excited about our natural strategy. Tom’s has got some terrific plans ahead of it with Craig and Dubitsky and Lauri and the team from Hello are doing an outstanding job opening our eyes the opportunities in naturals across the category. The Hello brand continue to expand in the U.S. and is delivering nice growth and I think that category we know long-term will be very, very beneficial.  Consumers continue to be extremely interested in purpose-driven brands, particularly brands with a strong sustainability profile and while the short-term in the crisis we saw a fall-off of natural brands. We’ve seen that category start to rebound and we expect longer term, it will continue to be a healthy growth opportunity for us.  Your last comment I think was on the Elmex expansion. Again, as we’ve talked about, we’ve been very selective with that strategy and where we move Elmex and Meridol into markets with high pharmacy retail environments and we are doing that very successfully. Brazil was the early launch, Great results coming out of that through the pharmacy expansion plan we have there.  This is not a short-term volume strategy. We want to build a long-term therapeutic business in the pharmacy channel and doing that with strong therapeutic brands like Elmex and Meridol and you are going to see that continue to unfold as we increase investment and continue to build a long-term sustainable business for the markets where we extend it. That will have a couple more to expand in as we move into 2021. So, hopefully, that answers your question, Rob.  And I guess, that brings us to the end. So let me just sum it up. I think overall, a quality quarter, but we all recognize, we’ve got more work to do and a lot of challenges still in front of us. I want to thank 36,000 Colgate people around the world who continue to be extraordinarily resilient, well-focused on executing our strategy, building new capabilities across the organization and winning on the ground and the success of the quarter goes out to them.  So, thanks everyone and we look forward to catching up with everyone soon. 
Operator: And this concludes today's conference. Thank you for your participation and you may now disconnect.